Operator: Welcome to the Dream Industrial REIT First Quarter Results Conference Call on Wednesday, May 8th, 2024. Please be advised that all participants are currently in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] During this call, management of Dream Industrial REIT may make statements containing forward-looking information with the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks, and uncertainties, many of which are beyond Dream Industrial REIT's control that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Industrial REIT’s filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Industrial REIT’s website at www.dreamindustrialreit.ca. Your host for today will be Mr. Alexander Sannikov, CEO of Dream Industrial REIT. Mr. Sannikov, please go ahead.
Alexander Sannikov: Thank you. Good morning everyone. Thank you for joining us today for Dream Industrial REIT’s first quarter 2024 conference call. Speaking with me today is Lenis Quan, our Chief Financial Officer. We started 2024 with strong operating and financial results as we focused on executing our on our key growth drivers. We reported 7.1% comparative properties NOI growth during the quarter, which drove FFO per unit to $0.24 for the for Q1, in line with our guidance provided on the last call. We saw a 20 basis points lift in committed occupancy over the last quarter, driven by healthy leasing momentum. Our balance sheet remains strong with conservative leverage and ample liquidity. The industrial leasing market is dynamic but healthy. On one hand, availability has risen across our core markets when compared to the historic lows prevalent in the last couple of years. This was due to delivery of anticipated new supply to the market and a rise in sublease activity by tenants largely in the 3PL industry. On the other hand, construction starts have fallen significantly over the past year. Speculative space under construction currently stands at less than 1% of inventory in the GTA and GMA markets. We are also seeing healthy levels of leasing activity and user acquisition demand. As a result, we continue to expect balanced supply and demand dynamics in our markets. We remain focused on driving NOI growth through achieving strong rents on leases that are rolling over and driving new leasing in our development projects. We expect that this will translate into continued FFO per unit growth in 2024 and beyond. Our outlook for the year remains intact. We continue to expect that organic growth in 2024 will be primarily driven by growing in-place rents as opposed to occupancy levels. Since the beginning of 2024, we have signed over 2 million square feet of new leases and renewals at an average spread of 43%. In Canada, we signed 1.6 million square feet of leases at an average spread of 52% and in Europe, we signed 0.5 million square feet of leases at an average spread of 10% -- or 11%. Rental steps remains strong. Our recent development leasing activity has also been healthy with approximately 0.5 million square feet of new leases transacted are in final stages of negotiations across our pipeline in Ontario and Alberta. Furthermore, activity levels remain in good shape. We have been responding to multiple requirements for our development projects, both on balance sheet and within our private ventures. Currently, we are engaging with prospective occupiers representing requirements of approximately 1 million square feet. Our 200,000 square foot net zero redevelopment at Courtney Park in Mississauga is a good example of this. The project has achieved substantial completion and 60% of the building was leased in Q1 for a 10-year term with starting rent of $21 per square foot, an annual steps of approximately 4%. We are in the process of finalizing a lease on the balance of the space. At similar rates and terms, we expect this asset to contribute to over $4.5 million to our annual NOI on a run rate basis with rent commencement in Q4 2024. Our capital allocation priorities remain intact. Completion of our existing development projects is the main use of our capital for the next 12 months. While our private capital partnerships do not require significant capital, these co-investment opportunities continue to drive incremental FFO per unit. to-date in 2024, we have completed over $118 [ph] million of acquisitions in the dream Summit venture, which are accretive to our FFO per unit and our current total return profile. Our property management and leasing platform generated over $2.5 million in net margin for the quarter. We're also looking for opportunities to scale up our solar program, both in Canada and in Europe. We're in advanced -- we're advancing feasibility studies on multiple projects, resulting in yields on invested capital of over 10% on average. Our businesses well funded to pursue these initiatives on a leverage-neutral basis through existing liquidity and retained cash flow. In addition to the sources of liquidity, we are pursuing several disposition opportunities of non-strategic assets. We're currently in discussions to sell over $100 million of assets at compelling pricing metrics. Many of the prospective buyers of private groups or the transactions may require longer execution time frames. We expect to provide further details on these initiatives over the balance of 2024. I will now turn it over to Lenis to discuss our financial highlights.
Lenis Quan: Thank you, Alex. Our financial results for the first quarter were strong. Diluted FFO per unit was $0.24 for the quarter, driven by strong comparative properties, NOI growth of 7.1% for the quarter and fee income generated from our property management platform. Our Q1 2023 FFO included $0.004 of lease termination income relating to an anticipated vacancy in Europe. Excluding this non-recurring income, our year-over-year FFO was relatively consistent with the prior year and in line with our guidance. Our net asset value per unit at quarter end was $16.72, a slight increase compared to the prior quarter due to higher asset values in Canada and stable values in Europe. We continue to actively pursue financing initiatives to optimize our cost of debt and maintain a strong and flexible balance sheet with ample liquidity. In January, we closed on a $200 million unsecured debt issuance via a reopening of our Series F unsecured bond and a lower implied interest rate than the original issuance in early 2023. Proceeds were partly used to repay $44 million of mortgage maturities and repay the outstanding $50 million balance on our credit facility, which bore an average rate of approximately 6.9% with the remainder earmarked towards funding our development pipeline and contributions to our private capital partnerships. In May, we repaid an additional two European mortgages totaling $44 million, our remaining unaddressed debt maturities of approximately $220 million for 2024 include our $200 million Series B unsecured debenture maturing in June and a floating interest rate, which is currently 4.5% and a European mortgage maturing in August. We are in advanced discussions to refinance the Series B bond with a new unsecured term loan denominated in euros with a relationship lender. We expect to achieve a rate that is 50 basis points lower than the maturing bond based on the current market environment and more than 110 basis points lower than Canadian denominated debt. We ended Q1 with leverage in our targeted mid-30% range, with total available liquidity of over $600 billion, we retain sufficient capital to execute on our strategic initiatives. Given our private joint ventures are reported on an equity accounted basis, our net debt to EBITDA could fluctuate quarter over quarter. We expect net debt to EBITDA to average low eights on a run rate basis for 2024, which is lower than 2023 and the run rate prior to the Summit transaction. For 2024, we expect our in-place rents to grow in the high single digit percentage range by the end of the year. Our outlook for comparative properties NOI growth remains intact in the mid single-digit range on a constant currency basis, primarily driven by contractual rent steps and rent spreads on leasing. We are expecting that in-place occupancy will remain largely flat on average for the year. We are expecting some space to come back to us in Q2 and Q3. So in-place occupancy levels may fluctuate quarter over quarter. We are reiterating our prior guidance of mid single digit FFO per unit growth in 2024, which is predicated on current foreign exchange rates, leverage levels and interest rate expectations. Looking further out to 2025, we expect that the pace of organic growth within our portfolio will continue to exceed the pressure from higher interest rates as 93% of our debt maturities for next year occurred in November and December 2025. With some development assets achieving stabilization by the end of this year as well as upcoming lease maturities in late 2024 and early 2025, we expect both NOI and FFO per unit growth to accelerate into 2025. I will turn it back to Alex to wrap-up.
Alexander Sannikov: Thank you, Lenis. It has been a solid start to 2024, and we remain focused on delivering strong FFO and cash flow growth for all our stakeholders. We will now open it up for questions.
Operator: Thank you. We will now begin the question-and-answers session. [Operator Instructions] Our first question is from Kyle Stanley with Desjardins. Please go ahead.
Kyle Stanley: Thanks. Good morning, everyone. Last quarter, you mentioned being in negotiations or under contract to acquire, you know, upwards of 2.5 million square feet within the dream Summit JV. It looks like since then you've done about 800,000 square feet. Are you still progressing on the balance of that space? And could you disclose maybe total cost of the 800,000 square feet acquired, we participated at the kind of 10% economics?
Alexander Sannikov: Thank you, Kyle. You're absolutely right. The pipeline last year last quarter was it was larger one of the assets that was in the pipeline didn't materialize and we are proceeding with the rest of the assets. As we commented, acquisitions to date amounted to $180 million, and we continue to pursue opportunities in our target markets, including Montreal, we're looking at opportunities within Vancouver and continue to obviously look for opportunities in the GTA.
Kyle Stanley: Okay. Thanks. And just to confirm the retail economics as part of the JV, still kind of 10%?
Alexander Sannikov: That is correct. Yes, if you like our investment as a 10%.
Kyle Stanley: Okay. Perfect. So it let us you gave some disclosure on media expecting to get back a bit of space in Q2, Q3. Would the expectation then still be have a bit of a stronger kind of Q4 leasing period to them occupancy flat? Is that how I think we should think about?
Alexander Sannikov: I think that's fair. We probably expect that that trajectory will be we'll be accurate.
Kyle Stanley: Okay, perfect. And then just the last one, I think you highlighted maybe some of the softer fundamentals in the space from brokers that have been suggesting the same, but just given your size and portfolio scale across the country, I'm speaking Canada specific here and how are you interpreting what's happening? Are you seeing anything different in your portfolio just given your geographic mix or, you know, asset type make size of space.
Alexander Sannikov: Yeah. Thank you. Thank you for this follow-up question. As we commented, our development leasing activity has been pretty healthy. We are finalizing many transactions as we speak, and we continue to see requirements and user demand both in GTA and Alberta, which is where we're developing currently. We do see that user demand is bifurcating. There is pretty strong activity for what we would categorize as midday space, so that's less than 200,000 square foot footprints. We do see some requirements in the market for millions per feet range as well, which is healthy. There's not a lot of supply of that product, and as a result, the requirements are also limited. But in the segment of the market that is core to our business, which is midday urban product, we continue to see a pretty strong demand and pretty strong rates. Our Courtney Park project is a good example of that. We do have some exposure to small day assets in key markets, in GTA, in Calgary and Montreal. And as you know, there's been virtually no supply of this product over the last decade. And so, we continue to see strong fundamentals and supply-demand dynamics are still very favorable. The availability that is in the market is generally larger spaces, in some cases older spaces, and doesn't always necessarily compete with our product.
Kyle Stanley: Okay. Thank you for that, color. I'll turn it back.
Operator: The next question is from Sam Damiani with TD Cowen. Please go ahead.
Sam Damiani: Thanks, and good morning, everyone. First question, I guess, just on the development pipeline, just given everything that's going on in the market, how are you feeling about starting construction on the next phase of your Brampton project?
Alexander Sannikov: Thank you, Sam. Yeah, we are advancing that project. We started marketing the assets on a pre-leasing basis. We are finishing horizontal development, if you will, finalizing site plan, design of the building. So we are not necessarily in the position to launch construction just yet, but we continue to advance the project and start marketing it.
Sam Damiani: Okay. That's great. And just on the occupancy sort of outlook you provided, Lenis, I think you basically said occupancy would be roughly flat for the balance of the year. What kind of fluctuations do you see possible? And then for your 2025 outlook, accelerated growth, does that mean, 1% or 2% faster, or is that 3% to 4% faster? If you could be any more specific would be helpful. Thank you.
Alexander Sannikov: So let me maybe start with the balance with the second part of the question. So when we say accelerate is more meaningful than 1% to 2%, and we're not in the position necessarily to provide guidance at the moment, but we are considering providing a multi-year outlook at some point later in 2024 that will capture not only 2025 but also 2026, et cetera. So when we say accelerate, it's more material than 1%. As far as the occupancy fluctuations, as we commented, we expect the average to remain largely flat and that the growth this year is going to be driven by rents as opposed to occupancy levels. And we're not guiding necessarily kind of a quarter-over-quarter occupancy, but they can be -- the swings can be 50 to 100 basis points from one quarter to another.
Sam Damiani: That's great. Thank you very much, and I'll turn it back.
Operator: The next question is from Brad Sturges from Raymond James. Please go ahead.
Brad Sturges: Hey, good morning. To follow on questions around the development pipeline. Just based on the, I guess, the projects you're looking to complete construction over the course of this year, totaling 1.5 million square feet. How do you think about the buildup of NOI from those projects? And when would you expect a full contribution from an NOI perspective?
Alexander Sannikov: Thank you, Brad. So the two projects that are completing and will -- we anticipate will be revenue producing this year are Courtney Park and our smaller development projects in Balzac. So we expect that both will be largely revenue producing in the fourth quarter and within the two most meaningful projects on balance sheet. We have other projects within our private partnerships that will also be revenue producing later this year, but because they're in a private partnership, the contribution to overall FFO and NOI is going to be lower. And then as you can see from our MD&A, we do disclose anticipated completion for the project. So for example, our Whitby project is going to be completing in the first half of 2025. So that's when it's going to be revenue producing the larger development in Calgary is slated to get completed at the end of 2024. So it's going to be producing revenue into 2025.
Brad Sturges: Okay. So, that schedules is closely resembles when the NOI would kick in? Or is there a little bit, I guess there's still some leasing on some of the product, but would you expect some a little bit of a lag overall.
Alexander Sannikov: Absolutely we would expect a lag. So, what we are disclosing is expected completion and so from expected completion, it takes time to build out the office for the respective user. It takes some time to set up racking within the space. So there's usually, at least a six months delay from completion to commencement of rent.
Brad Sturges: Okay. And I think you said in your opening remarks that related to the development pipeline, you're in various stages of negotiations of -- I think, it was 1 million square feet. From your experience, if that's the right number, like from your experience, how much could that translate into actual signed leases, like what's the conversion rate typically?
Alexander Sannikov: It is a great question, and it's not as scientific as that some of these are requirements we've been negotiating for some time. Some are relatively new requirements. So this comment was rather aiming to address the overall levels of activity and demand we see in our -- within our development program. We will be reporting on actual leasing as we finalize it in more detail.
Brad Sturges: Okay. Thanks. I’ll turn it back.
Operator: The next question is from Himanshu Gupta with Scotiabank. Please go ahead.
Himanshu Gupta: Thank you and good morning. Quite a bit discussion on the occupancy side, so just turning attention on the rental spreads, very strong on the two billion square feet done so far? Any change in outlook for the remaining two million square feet coming. Do you see any slowdown in those rental spreads progression rent?
Alexander Sannikov: Thank you, Himanshu. No, we do not. And in fact, you will note that our Q1 disclosure as to the market rents that we expect for our assets is in line slightly higher than what it was in the prior quarter. So we continue to see opportunities to market it -- rents to market that is -- which is consistent with our overall levels for the portfolio. And in fact, we have captured a couple of opportunities. Some of them are sizable where we had contractual escalators previously or contractual renewal options previously with certain users. Some of these options were either missed or not exercised, and we would be able to capture more upside on some of these spaces than we originally anticipated.
Himanshu Gupta: Sounds okay. And then, Alex, I think in your prepared remarks, you did mention about subleasing activity and adding call out to third party logistics as well. Is that putting pressure on the market rents here? Do you see any like slippage in market rents at all?
Alexander Sannikov: It is a great question, and it depends on the definition of market rents. So in the GTA, roughly a third of the available space is coming from subleasing activity. Direct vacancy remains in the 2% range. And what we see from subleasing activity is that it not always is competing with direct vacancy, because in many cases it's being offered for the term. In many cases, prospective occupiers do not see the opportunity to reconfigure the space that they need to or do not have the term security to pursue investments that they need to pursue in the States. And so, yes, it does compete with certain direct vacancies, but it's not a one-to-one ratio. When it comes to the market rent levels, so as we commented before, the market rent levels that are being reported by various market participants are average asking rents, and the asking rents do change, and they do not always represent the true market rent level. When we look at our portfolio, and as we commented in response to the previous question, the market rents that we see for our assets are intact, and we actually increased them slightly from quarter to one quarter to another.
Himanshu Gupta: Got it. Okay, thank you. And just on this 3PLs and third-party logistics, do you have a sense of how much 3PLs account for leasing in the Toronto market GTA or Montreal market?
Alexander Sannikov : It is a great question. We do not have the stat kind of right in front of us, but we can get back to you. What we see from third-party logistics providers, we actually see both sides of activity from these groups. Some of these groups are indeed putting space on sublease market, but in many cases they're also looking to take more space because many end users are looking to outsource their logistics needs to third-party logistics providers. And so we see both sides of the 3PL activity in the market, both subleasing and significant new requirements.
Himanshu Gupta: Okay, thank you. Maybe just last question. And turning to Europe, IFRS cap rate for Europe, I think it's around 5.9% apply 50 basis points year-over-year, not much on a quarter-over-quarter basis. So are we mostly done with the adjustments? So any color on the solution side there what's happening in Europe?
Alexander Sannikov : So fundamentals are consistent with what we see in Canada. In Canada, what we've seen over the last three years, three, four years, let's say, is significant rise in market trends on the back of increasing demand and very muted supply response. And so when we look at the market today, while it is not half a percent of availability in the GTA, the market is very balanced. And so many markets in continental Europe are similar. Supply response has been limited, and these markets are increasingly supply constrained, and so we continue to see upwards pressure on rent, albeit not to the same degree as what we've seen in GTA and GMA. So the outlook for fundamentals is healthy. When it comes to cap rates, we have seen more interest in urban industrial in Europe, which is what we own predominantly on the continent. And we continue to be encouraged by the opportunities there and the valuation metrics that we are reporting are consistent with some of these transactions and opportunities that we're looking at or evaluating in Europe.
Himanshu Gupta: Okay. Fair enough. Thank you, guys. And I'll turn it back.
Operator: The next question is from Matt Kornack with National Bank Financial. Please go ahead.
Matt Kornack : Hi, guys. Just a few quick accounting questions here. On bad debt expense in the quarter, it seemed elevated relative to kind of historical levels. Was there anything do that? And should we view that as kind of normalized this quarter?
Lenis Quan : Yes, Matt, thanks. And so sort of similar to the themes that Alex was talking about and what we're seeing about some of the third-party logistics occupiers, we do have ones that are doing well in our portfolio and we have the one in particular that's been a little bit struggling and took a little bit more space. So that similar subleasing trend that we're seeing in some of the markets driven by 3PLs has reflected that. We monitor receivables, so we're just being careful with this one 3PL provider that seems to be struggling a little bit more. So, we're prudently bumped up some provisions this quarter related to that.
Matt Kornack : Okay. But judging by your kind of overall same property NOI growth commentary, I would assume that you're not assuming that level adjustment in the remaining three quarters of the year. Is that fair?
Lenis Quan: And I think overall, that's fair. I think as we add, we, as we've mentioned, the growth from driving the CPNOI is largely coming from contractual rents and achieved market rental spreads, not so much occupancy. So any dips in occupancy from quarter-to-quarter would be outpaced by the growth from the rest of the portfolio.
Q – Matt Kornack: Okay. And then on the income, that would have kind of an opposite impact this quarter was an all-time high and was up sequentially. Is that a good kind of proxy for where the fee income should be, obviously as the portfolio changes that that metric will change. But I'm trying to get a sense as to the trajectory of that sort of $4.7 million in the quarter.
Lenis Quan: So Matt, I think you're referring to the company. Are we referring to the property management income?
Q – Matt Kornack: Yes.
Lenis Quan: Yes. I mean, I think the run rate will be fairly lumpy because a lot of it would be based on leasing fees and that we also earn as part of the property management contracts that we have with our private capital partnerships. And so this quarter at releasing was actually a little bit on the lower on the lower side. We did have the dream Summit contract for the full quarter. So if you're looking year-over-year, there would be a bit of an increase just driven by the ownership for the full quarter. But leasing fees will be lumpy from a quarter-to-quarter basis on that.
Q – Matt Kornack: Okay. And then the last one for me. Just on the accounting side, interest income was higher, but you carried more cash, but you've essentially deployed that into paying down debt post-quarter. So should we expect kind of the offset being lower interest expense with and less interest income as a result.
Lenis Quan: You're correct, that we were sitting on the cash from largely from the bond that was raised at the beginning of the year. So we were reinvesting that as we were deploying. And so the interest income would wind down over the course of the second quarter. And some of that was used to repay debt, gradually over Q1 and Q2. So yes, there'll be some corresponding decrease, but I think we'll see some decrease on interest expense from refinancing the floating rate bond in towards the end of Q2. And we're expecting, as I had mentioned on the call, about 50 basis points of savings given where we see pricing based on today's select so that’s part of the interest for the remainder of the year.
Q – Matt Kornack: Okay. That's perfect. Thanks.
Operator: The next question is Sumayya Syed with CIBC. Please go ahead.
Q – Sumayya Syed: Thanks. Good morning. Just on the acquisition side, and the assets acquired by the Summit JV in the quarter and any more info there on the assets, if they're single or multi tenant size? And then also, what kind of NOI, how do you expect from those?
Alexander Sannikov: Thank you, Sumayya. Very consistent with the generally with the Dream Summit venture or some dream used to own high-quality urban assets in the GTA, very functional in terms of the upside. And in terms of return metrics. These are consistent with what you've seen from the venture throughout 2023 in terms of acquisition profile. So we are expecting kind of high sixes mark-to-market, the yields with reasonable worlds to get there.
Q – Sumayya Syed: Okay. So the mark-to-market would be in line with the rates broader margins…
Alexander Sannikov: In line with reach mark-to market and generally in line with our valuation parameters. And generally speaking, I think what's important to highlight on the acquisition market and the overall activities. We continue to see more and more capital looking at Canadian industrial from a from abroad, primarily from the United States because the fundamentals are strong and we are we have a pretty low. We supply a low availability in, especially in the GTA. And so we continue to see more interest from specifically US institutional investors in the Canadian market.
Q – Sumayya Syed: Okay. And then on the on the flip side, just any more color you can provide on your disposition program and targeted assets for markets.
Alexander Sannikov: Thank you for following up on that. We will provide more color. These are assets that are nonstrategic to us and so as these transactions materialize, we will provide obviously, more color on pricing metrics, the assets themselves, why we regard them as no strategic, I think to describe them broadly is going to be perhaps, premature at this point.
Q – Sumayya Syed: Fair enough. And then lastly, I'm not sure if I missed it, but on your developments on the Cambridge site and what are your expectations for timing of lease-up there?
Alexander Sannikov: Yeah. Thank you for following up on that. We actually signed our first lease in Cambridge during the quarter at rents that are in line with our underwriting on a trended basis, so low 15s, starting rents with good escalators. And we are engaging with a number of prospects for the balance of the asset. It is going to be a multi-tenant lease-up, which is how the asset has been designed, and we are encouraged by the level of activity for this particular property.
Sumayya Syed: Okay, great. I'll turn it back. Thank you.
Operator: Your next question is from David Chrystal with Echelon. Please go ahead.
David Chrystal: Thanks. Good morning. Just a quick one for me. On the share of FFO from equity accounted investments, looks like it went down a few hundred thousand sequentially. NOI was largely flatter down a little less. Is this interest expense, or is there anything else to read into here?
Lenis Quan: No, I think your summary is quite accurate in terms of that, in terms of the share of FFO pickup.
David Chrystal: Okay. So, I guess, organic interest expense increases and possibly some increases tied to acquisitions in the JVs?
Lenis Quan: Yeah. That's right. There's some acquisitions financed by combination of debt and equity. So the acquisitions, I mean, I think, Alex went through the metrics, kind of, going in with good, but it's good value growth on the acquisition. So it will take us couple of quarters to see that the accretion kick in from that.
David Chrystal: Then in terms of the growth outlook, I mean, it would be similar or slightly better than the outlook, I would say for your Canadian portfolio, if we're reading into the Summit JV in particular?
Alexander Sannikov: Can you maybe elaborate on this question? Growth outlooks, you mean in terms of built-in mark-to-market potential within the Dream Summit assets?
David Chrystal: Yeah, mark-to-market. So I guess the NOI growth and FFO growth should be similar or superior to the Canadian portfolio, the consolidated Canadian portfolio.
Alexander Sannikov: We don't track FFO for Dream Summit, because it's obviously a private venture that is focusing on total return strategy. However, in terms of NOI and mark-to-market, we have commented previously the built-in mark-to-market opportunity within Dream Summit's portfolio is greater and has been greater at the time of acquisition compared to GIS mark-to-market opportunity, primarily as a result of longer weighted average lease terms historically within the portfolio. And that thesis remains intact. And then the assets that we're adding to Dream Summit generally have significant mark-to-market built into them as well. So there is still a pretty strong outlook for organic NOI growth within the venture.
David Chrystal: Okay, great. Appreciate the color. I'll turn it back.
Operator: [Operator Instructions] The next question is from Pammi Bir with RBC Capital Markets. Please go ahead.
Pammi Bir: Thanks. Good morning. Just a couple of, I think we'll be quick ones, on the disposition side. And coming back to that, is the expectation to get most of those, call it the roughly $100 million at the end to get most of that done this year, or do you see that possibly trending or extending into 2025?
Alexander Sannikov: The deals that we are working on, if they do materialize will close this year, Pammi, and we expect that the -- from a modeling perspective, they will not have a material impact on the -- from the guidance that we just reiterated.
Pammi Bir: Got it. Okay. And then just the debt-to-EBITDA metrics, they did move up this quarter, a fairly sizable increase. And I think, again, maybe some of that lumpy income from the distribution from the JV. So when you think about the growth that you've guided to this year, and again, these dispositions, where do you see that metric trending by year-end?
Lenis Quan: Thanks, Pammi. As you pointed out, the debt-to-EBITDA number can be a little bit lumpy based on the way that we have to treat the investments in the private ventures, but we do see that debt-to-EBITDA averaging low eights and over the quarter, closer to on a run rate basis and getting down to closer to eight by end of year on a run rate basis.
Pammi Bir: Thanks very much, Lenis. I'll turn it back.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Sannikov following the closing remarks.
Alexander Sannikov: Thank you very much for your interest in Dream Industrial REIT. We look forward to reporting next quarter. Goodbye.